Operator: Good day ladies and gentlemen, and welcome to First Quarter 2018 Thermon Earnings Conference Call. At this time, all participants are in listen-only mode. Later, we will conduct a question-and-answer session and instructions will be given at that time. [Operator Instructions]. I would now like to introduce General Counsel, Ms. Sarah Alexander. Please go ahead
Sarah Alexander: Thank you, Andrew. Good morning and thank you for joining us for today's earnings conference call. We issued an earnings press release this morning which has been filed with the SEC on Form 8-K, and is also available on the Investor Relations section of our website at www.thermon.com. A replay of today's call will also be available via webcast after the conclusion of the call. This broadcast is the property of Thermon; any redistribution, retransmission or rebroadcast in any form without the expressed written consent of the Company is prohibited. During this call, our comments may include forward looking statements. These forward-looking statements are subject to risks and uncertainties and our actual results may differ materially from the views expressed today. Some of these risks have been set forth in the press release and in our annual report on Form 10-K to be filed with the SEC at the end of May. We also would like to advise you that all forward-looking statements made on today's call are intended to fall within the Safe Harbor Provisions of the Private Securities Litigation Reform Act of 1995. These statements may include, among others, our outlook for future performance, revenue growth, profitability, leverage ratios, acquisitions, acquisition synergies, and various other aspects of our business. During the call, we will also discuss some items that do not conform to Generally Accepted Accounting Principles. We have reconciled those items to the most comparable GAAP measures in the tables at the end of the earnings press release. These non-GAAP measures should be considered in addition to and not as a substitute for measures of financial performance reported in accordance with GAAP. And now, it's my pleasure to turn the call over to Bruce Thames, our President and Chief Executive Officer.
Bruce Thames: Thank you, Sarah. Good morning, everyone. Thank you for joining our conference call, and for your continued interest in Thermon. Today, we have Jay Peterson, our CFO, joining me on the conference call. Jay will follow me and present the financial details of our fiscal 2018 first quarter. To begin with an overview of the financials. Overall, Q1 results are below our expectations and are certainly not representative of the performance this business is capable of delivering. Revenues were projected to be down in Q1 due to normal seasonality, weak US Greenfield and project timing in the Eastern Hemisphere. However revenues of $51.7 million declined more than anticipated for the quarter and were down 18% year-over-year. On a positive note, margins improved by 480 basis points due to lower Greenfield sales and a higher mix of MRO/UE at 28% and 72% respectively. Tighter execution on Greenfield projects also contributed to the margin improvement during the quarter. In addition, MRO/UE revenues were up 3.6% year-over-year driven largely by Canada. After four consecutive quarters of historically low, but stable margins we saw approximately a 300 basis point improvement in our margins and backlog during Q1. Backlog margin levels remain 4% to 5% below averages in advance of the downturn. The geographic mix shift to business from North America to the Eastern Hemisphere and highly competitive Greenfield pricing continue to generate near term margin headwinds. Despite the positive book-to-bill of 107% and a steady "success rate", first quarter bookings were soft at $55 million due largely to weak demand. Backlog of $110 million was up 16% year-over-year and 3% consecutively. We continue to see backlog in EMEA and Asia at record levels with number of notable projects currently in engineering design. Backlog remains low in the Western Hemisphere, but we have begun to see modest improvements in Canada over the last two quarters. Both GAAP and adjusted EPS finished at $0.01 per share versus the prior year of $0.08 per share. From a market perspective, we're seeing the oil and gas sector remains challenging with lower capital spending and continued maintenance deferral, particularly downstream. We continue to see some activity in the shale play as a positive sign, but these areas are not process heating intensive and offer less opportunity. We have seen an increase in the natural gas activity particularly in Canada that has helped stabilized and improve the outlook there. Both chemical and petrochemical sectors remain active although the majority of projects of new large projects are coming from Eastern Hemisphere. The US ethylene builds are progressing but we've seen a lull in construction activity as the number of projects are nearing completion and others are in early stages of construction. Combining cycle power projects are steady particularly in the US. We're also seeing a growing number of opportunities in our alternative energy such as concentrated solar power and biofuels. Geographically, revenue was down across all regions with the exception of Canada which grew 20% over prior year, despite the record finish to fiscal 2017 and a record backlog the Eastern Hemisphere began the year with a very slow start relative to expectations in prior year. However given the current backlog and project schedules, this region has good visibility to achieving the plan for the fiscal year with material shipments beginning in Q2 and accelerating in the second half of fiscal 2018. After a difficult two years, the first quarter results in Canada were very positive with a 76% year-over-year growth in MRO/UE. We are also seeing a release of some pent up demand as customers are proceeding with activity “that have been opened for the last 12 to 18 months.” We'll watch closely to see if the incoming order rates continue at these levels into Q2 and beyond. Weakness in the US and Latin America Greenfield projects were anticipated in Q1, but results fell below expectations. On a very positive note, we saw a significant margin improvements in the quarter driven by higher MRO mix and better execution in turnkey projects. With the backlog at near-term low and poor visibility on larger Greenfield opportunities, the US and Latin America will be dependent upon short cycle business opportunities through Q3. We see this region as presenting the greatest risk to our fiscal 2018 revenue plan. Due to the current environment we have taken additional measures to reduce cost in the US. We anticipate the annualized impact of these actions will result in $1.9 million reduction in SG&A and a $700,000 in lower manufacturing and direct labor costs. The number of opportunities within our project pipeline remains relatively stable at over 800 identified projects and the total value has declined to approximately $900 million. Looking forward, we continue to focus on new product development to position the business for future success. We'll share more information following product launches throughout the year. We are confident the investments underway will deliver differentiated solutions to our customers provided defensible market position for Thermon and create real shareholder value. I'm also pleased to announce that our facility in Russia is now fully operational and is well positioned to better serve a growing customer base in the region. Our M&A pipeline remains active and we continue a disciplined approach to pursuing opportunities that are closely aligned with our strategy. We continue to focus on several potentially actionable opportunities one of which that could close within this fiscal year. Looking forward, the strong backlog provides line of sight to achieve our revenue plans in the Eastern Hemisphere. However the lower incoming order levels in Q1 are cause for concern particularly in the US, where the backlog is lower from historical basis. As a result, we're revising our guidance downward to reflect a low-to-mid single-digit revenue decline for fiscal 2018. Based upon the status of projects in engineering we anticipate the backlog to begin to materialize in Q2 and accelerate in H2. We are watching maintenance in UE spending very closely as another indicator of recovery. Any improvements in the incoming order rates would provide upside to the current projections. We remain confident that the current environment is cyclical, our business model is sound, we have a strong team and are positioning the business for future success. Thank you, gent again for joining us today. Jay Peterson, our CFO will now address the details of our financial performance for Q1, fiscal 2018. Jay?
Jay Peterson: Thank you, Bruce. Good morning. I would like to start by discussing our Q1 financial results and then conclude with updated revenue guidance for the balance of fiscal year 2018. First off, revenue. We are disappointed in our 18% revenue decline for the quarter with three of our geographies experiencing declines. Our Canadian business unit however due to a 76% increase in maintenance spending grew total revenues by 20%, the largest growth for this geography in the past 24 months. Although Europe and Asia declined for the quarter, we believe there is adequate backlog and order activity for these two geographies to achieve their business objectives this fiscal year. Our US business is a concern due to a lower than anticipated order rates and current backlog. FX currency translation negatively impacted our revenue by approximately 1% in the quarter. Our MRO/UE mix for Q1 was 72% of revenues, whereas Greenfield totaled 28%. Greenfield revenues declined by 47% in the quarter due to continued delays in capital spending whereas MRO/UE grew by 4%. Orders for the quarter totaled $55.1 million versus $77.5 million in the prior year quarter for decline of 29%. Our backlog of orders ended June at $110.2 million versus $95.4 million at the end of June 2016 and this is an increase of 15.5% and we are continuing to experience a protraction in the turns in our backlog. Approximately 18 to 24 months ago, our backlog would typically turn within 12 months. At present, due to a continued depression in capital spending our turns have increased to 15 to 18 months. In the quarter our book-to-bill was positive at 107% attributed to the protraction in the turns of our backlog. Turning to gross margins, margins improved by 480 basis points this past quarter due to the mix shift in MRO and a significant increase in Greenfield margins due to more favorable pricing and cost measures enacted last fiscal year. For the quarter, Greenfield margins increased by 1,100 basis points over the prior period, whereas MRO/UE margins declined by 100 basis points. In terms of operating expenses in the headcount, core OpEx for the quarter that is SG&A and this excludes depreciation, amortization and transaction related expenses totaled $17.6 million versus $17.7 million than the prior year quarter, equating to a decline of 6%. Due to our current financial performance in the US, we experienced a reduction in force in July saving approximately $2.6 million annually. Our OpEx as a percent of revenue was 34% and again this excludes depreciation and amortization. The number of full time employees at the end of June was 970 versus 984 as of calendar June, 2016. Turning to earnings, GAAP EPS for the quarter totaled $0.01 compared to a prior year of $0.08 for a decline of 82% and there were no noted adjustments to earnings in the quarter. Free cash flow EPS totaled $0.11 in the quarter versus a negative performance one year ago. Our EBITDA totaled $7 million this past quarter and EBITDA as a percent of revenue was 13.6%. Well below our historical levels and what we anticipate to deliver in future quarters. Note that our EBITDA was positively impacted by the companies we acquired back in fiscal year 2016. Our cash balance ended at $87.5 million this past quarter over the prior 12 months we decreased our debt balance by $15 million concurrent with growing our cash and investment balance by $15 million. And note that starting on April 1, our amortization of our term loan increased to $20.25 million a year and this is up from $13.5 million in the prior year. Finally, turning to guidance we're lowering our guidance to a low-to-mid single-digit decline for our fiscal year 2018 based on our much slower start than anticipated when we established our budgets back in March. In addition, if we're not able to execute to our financial objectives this quarter, we will continue to manage our expenses to protect earnings. I would now like to turn the call over to Andrew to moderate our Q&A session.
Operator: [Operator Instructions] and our first question comes from the line of Scott Graham with BMO Capital Markets. Your line is now open.
Scott Graham: So you reported your fourth quarter in late May, so you had to have a decent idea of the shipment activity and then you had a riff in July. So it suggest to me, that you guys are kind of hoping for a bounce back in June rather than getting out more out in front of that, on the cost side. Is that a fair characterization?
Bruce Thames: No Scott what - we had a line of sight to Q1 revenues, the big problem we had was move outs in the Eastern Hemisphere. The Western Hemisphere largely hit their revenue numbers, we had shortfalls in the US that were offset by Canada, but these were a number of major projects where we had shipment delays, many of them customer driven that moved out of the quarter and these moved very late in the period, to the tune of $4 million to $5 million and so that is poor [ph] characteristic. If you look at the reductions that we took in July those were more related to the weaker backlog in the US in lower than anticipated incoming order rates, so those were kind of the decision point or the things that impacted the results.
Scott Graham: Okay, that's very clear. Thank you. Next question is, you made over the last couple of years, a lot of investments outside of North America that kind of bolster your presence in generate revenues there. Is it possible that maybe we should have increase more in North America at the same time because your competitor is saying that their business is actually improving, still down but improving and it doesn't sound like you guys are really saying that. So can you just talk about why your US business is struggling as it is?
Bruce Thames: Well first of all, I do think we are maintaining share in the Western Hemisphere. If you look at, we're going to talk - not to competition, look at how they characterize their business, they're actually down 13% year-over-year this quarter and they're about almost down 15% year-to-date, so I wouldn't characterize that as being flat. They do split those out and say major projects versus not. The reality is we lump it altogether. So I'm not sure I agree with your assessment of how well they are or not doing relative to, that's when we look at - they're down 13.5% year-to-date roughly.
Scott Graham: Yes, I did say, that's okay. Could you tell us the amortization how that kind of rolls that increase in the amortization, how that rolls through the P&L?
Jay Peterson: Yes, it is a cash amortization. Our term loan amortization increased on April 1st, up to 15% of the original principal balance that was up to $20.25 million from $13.5 million that is the cash amortization in terms of the P&L impact it will actually have a slightly favorable impact to the P&L, only because the balance will be decreasing faster and subsequent future interest expense will be slightly lower.
Scott Graham: I might need to hear that one more time. Offline, Jay. But I think I get a little bit of the gist of it. Those were all my questions. Thank you.
Jay Peterson: I'll shoot you an email. Okay.
Scott Graham: Sounds. Good. Thanks.
Operator: Your next question comes from the line of Jeff Hammond with KeyBanc Capital Markets. Your line is now open.
Jeff Hammond: So just back to the kind of the concern or weakness in the US, like where are you seeing the weakness, what's kind of surprising you and you know as you kind of dive deeper and talk to customers, what kind of unlocks some of that weakness?
Bruce Thames: Part of it, we're seeing a lull in petrochemical activity. We have a number of projects that are at backlog, although our backlog as we've noticed is historically down, those won't execute until we should see those began to materialize in Q3 and Q4 of this year, so that's certainly hurt us in the first quarter. I guess what we're not saying customers are generally saying spending levels should improve in the current fiscal year, we're not really seeing that materializing, we certainly didn't see in the incoming order rate in Q1.
Jeff Hammond: Okay and then, just given kind of shortage of Greenfield budgets, as you kind of go and bid, what are you seeing from a pricing standpoint?
Bruce Thames: It's been very competitive for the last year and half to two years. So I don't think that's changed. I didn't note in my comments that our margins and backlog have improved by about 300 basis points, that's a big move in the positive direction. They're still down from a historical perspective. So I guess you know - we've for four quarters we have been stable margins and backlog, we're now beginning to see some improvement. I don't think we have any real pricing leverage today, but we're seeing some modest improvements in pricing.
Jeff Hammond: Okay and then last one, it looks like you filed an S-3, maybe just talk about you mentioned deals in the pipeline, what do you think your balance sheet capacity is? And are there deals in the pipeline that will require you to kind of go outside to just kind of debt financing? Thanks.
Jay Peterson: We've looked at several different financing scenarios, everything from a term loan A to a term loan B which would actually reduce significantly reduce our amortization. In terms of the leverage, we would be in the three to three and a half range preferably, we would not be going any higher than that. That would be the upper range and then with our cash generation, I would say a year thereafter it will be down a half a turn, maybe a little more.
Jeff Hammond: Thanks guys.
Operator: And our next question comes from the line of Charley Brady with SunTrust. Your line is now open.
Charley Brady: Can you quantify in the US, how much the order rate is down and what sales were down? I know you can't quantify, I guess will you quantify is a better question.
Jay Peterson: Yes as we said before, we had a very difficult performance in the US. Quarters in the quarter were down 48% and revenue in the quarter was down 22%.
Bruce Thames: So and let me just qualify, our incoming rate was about 20% below our expectations. Last year we had a major project booking in the US which made that difference year-over-year pretty pronounced, but again that order rate from last year was significantly above our anticipated incoming order rates to sustain that business or grow that business.
Charley Brady: Thanks. In terms of the gross margin expectation for the year. I don't know if you - if I've missed it, if you could quantify or not. But if you haven't, what is your expectation for gross margin and I guess I'm trying to square up obviously, it was skewed upward by the mix, this quarter, but now you're going to start rolling out some of the backlog in a more heavier fashion, particularly in the back half of the year, so I'm trying to really square up. Do you expect that margin to still be skewed up by the MRO business or does it kind of come back a little more normalized level given the Greenfield is going probably pick up certainly in the back half of the year?
Jay Peterson: Yes, we're anticipating the latter to occur very seldom, we ever had such a strong MRO mix that we experienced this last quarter.
Charley Brady: Could we expect gross margin to be up year-on-year given that the Greenfield backlog margins, up few hundred basis points?
Jay Peterson: Conceivably, yes.
Charley Brady: Great. That's all I had, thanks.
Operator: Your next question comes from the line of Josh Pokrzywinski with Wolfe Research. Your line is now open.
Josh Pokrzywinski: Can you just talk a little bit about the refinery turnaround season? How that's looking for the fall? And maybe square that up with what you saw in the quarter. I guess at the US, maybe the summer time isn't the best indicator of how that's looking. But we have heard I guess mixed report and both positive and negative on US refining activity and how that's looking. How much did that play a role into the quarter and how do you think it, that will add into your second quarter?
Bruce Thames: Yes, I mean of course. This is peak travel season, so it's not turnaround season refineries particularly so, but in the fall we have heard there is quite a few turnarounds that are planned and certainly, we would anticipate an uptick and some benefit really, the seasonality related to that is, is part of that turnaround and a lot of significant part of that would be, as we entered the heating season as well. So we would expect normally to see a pickup in our MRO sales in Q2, Q3 particularly.
Josh Pokrzywinski: Have you heard any, about any disruption or push out in that or reduction in scope? I guess I'm thinking of it from the aspects of other folks who provide service into those markets or other equipment suppliers that the order book for fall season is looking a bit wider, a bit pushed out relative to normal. Have you seen any of agita [ph] in your order book or is this looked kind of like normal season to you guys?
Bruce Thames: We have not - we're not as heavily dependent upon turnarounds, but we have not seen any big changes. We actually have seen an increase in the maintenance activity in Canada and that's largely related to the fact that a number of these facilities, we've grown our installed base there tremendously over the last eight to 10 years and a lot of those facilities are now are coming up on just to three to five years maintenance cycle and so we have seen a pickup in activity there. In the US, it has not been - we've not seen an increase but we don't have any reason to believe it would be significantly lower than what we've experienced in the last couple of years.
Josh Pokrzywinski: Got you. And then just one last one, I think a lot of mixed data or I guess more downbeat tone out of the folks supplying into the power gen space, is that something that you guys saw on the order book this quarter in North America?
Bruce Thames: It's steady but it has slowed somewhat, but we still are seeing a number of combined cycle power project opportunities. Also noted, it's kind of alternative power, we're seeing internationally, we're seeing a number of concentrated solar power plants and they represents a pretty significant opportunity for electrical heat tracing when you look at the design and operation in those facilities. So we've actually seen some of those in, in Eastern Hemisphere particularly.
Josh Pokrzywinski: Perfect. Thanks for the color guys.
Operator: Your next question comes from the line of Brian Drab with William Blair. Your line is now open.
Brian Drab: Maybe this first one is for Jay, but on the guide for down low single to mid-single digits in the revenue for the year. How much impact are you modeling from FX in that forecast?
Jay Peterson: Right now, zero. No impact from FX.
Brian Drab: Okay, so if you could just help me model here. I'm looking at the balance of the year really being about the same as second quarter, third quarter, fourth quarter revenue forecast the same to get you that - same as it was in your previous guide to get you the low single to mid-single decline. So is it fair to say that you're not today modifying your guidance based on anything in the balance of the year, you're just lowering it for the first quarter miss?
Bruce Thames: Yes, that's correct. Brian we really see - with the backlog we have and we have stated couple times, one of these projects are in engineering, we're getting to phase of design where they're beginning to release materials into production [technical difficulty] that are already in production. This quarter we'll start to see those shipments late in this quarter and then they will begin to accelerate into Q3 and Q4. So we really see year-over-year we see the first quarter was a big [technical difficulty] we had some move outs, but we really see a fairly flat for the balance of the year relative to last year.
Brian Drab: Okay and then, as you look at forecast and think about the buckets of Greenfield and MRO/UE you actually had, there is growth right in MRO/UE 3% growth this quarter. Is that right? I don't know if this model is completely updated. But are we forecasting for MRO for the full year?
Bruce Thames: Our assumptions are more conservative in that number, so we would expect that to be flat year-over-year and that's one reason I've noted, if we see an uptick in the incoming order rate going into Q2 and beyond, it would provide upside to our current forecast.
Brian Drab: Okay, so roughly you were saying flat for MRO, but Greenfields the component that will clearly be down for the year.
Bruce Thames: Yes.
Brian Drab: For the full year?
Jay Peterson: Correct.
Brian Drab: Okay and then, can you just help me understand maybe just a quick review of the cost cuts, you've announced prior to this call and the impact of those and then, secondly on this $1.9 million when does that fully hit the P&L, that's an annual run rate, right? And when does that $1.9 million completely take effect? And then thirdly, how much more could you take out, if you had to?
Jay Peterson: To answer the latter question, first. In fiscal year, 2018 of the $1.9 million we believe we will realize $1.5 million of that $1.9 million, approximately 75% of it, that will also be in this current fiscal year approximately $600,000 worth of cost reductions. Previously we announced approximately a little over $6 million reductions in SG&A cost approximately equally split. We certainly seen the cost reductions favourably impact our margins over the last several months and quarters. The expense reductions are little muted in terms of some underutilization of engineering resource and many those resources were addressed in July. To answer your third question, if we do not see improved financial performance in achieving our objectives we will be looking at resource reductions in the next 90 days.
Brian Drab: Okay, thanks and then I think this was mentioned last call. I'll go back to that transcript, but the Russian facility I think you said doesn't add significant amount of cost, Jay. Can you just review that, how big is that facility again maybe in terms of like square feet, if you have that? And how much does that add to P&L in terms of depreciation and other costs?
Jay Peterson: Yes, the entire build was budgeted at $1 million on capital. We spent, I think approximately $700,000 or so in aggregate, so we did completely under spent it, don't have the exact figures at this moment.
Brian Drab: How big is that? The build is just one building.
Bruce Thames: It's one building, about 11,000 square feet. About 10,000 manufacturing square footage and about 1,000 square feet office [indiscernible].
Brian Drab: Okay, all right. Thank you.
Operator: Your next question comes from the line of Martin Malloy with Johnson Rice. Your line is now open.
Martin Malloy: I wanted to ask about the pickup that you saw in Canada and how sustainable you think that is. I know that during the quarter, well I believe there was a fire at Suncor plant and it accelerated, it seems like quite a bit of maintenance at that facility. Is that - it was more of one time event related to that or do you see a sustainable pick up now that, those facilities have been online for five years plus.
Bruce Thames: Yes, good, great question. The Suncor fire, we actually did see some positive impact of that to our business in our temporary fire solution. So we did see some increased rentals there, but the reality is a lot of increase we did see in that first quarter was as I noted some pent up demand for opportunities we've quoted over the last 12 to 18 months. And there is really a couple of things, we're seeing some maintenance activity that has really been deferred so we're seeing some of that happened and a lot of that's related just to age of these facilities that have come online over the last eight to 10 years. Then in addition to that, we have seen a pickup in some of the gas activity in British Columbia and we suspect that's tied to just increased production in anticipation of LNG facility in the coming years, so just building up capacity there. So that's kind of types of things we've seen. In this sustainable, we're watching that closely. We have some general, some cautious optimism there is some level of sustainability to what we're seeing further into the year.
Martin Malloy: Great and then just a follow-up question on the US market, maybe trying to get a little bit better or flavor for the current bidding activity out there in the outlook. It seems like there is still a number of petrochemical projects that are under construction and slated to come online in 2018, 2019, 2020. How is the bidding environment now as you look out maybe the next 12 to 18 months versus where it was the previous 12 to 18 months here?
Bruce Thames: It's pretty similar, as far as just you look at the level of competition. There are fewer projects to be had, so they are being bid very competitively. A lot of the larger ethylene units and some of the associated process facilities in many cases have already been bid and awarded or in backlog and are being executed. So not to say that there aren't additional opportunities coming, the ones we do see are little further out into late in our fiscal year or our first quarter of the calendar 2018 and beyond.
Martin Malloy: Okay, thank you.
Operator: And we have a follow-up question from the line of Charley Brady from SunTrust. Your line is now open.
Charley Brady: Just to follow-up on the comment about the push outs you saw from Eastern Hemisphere in Q1. I mean, can you give us sense of confidence level that they'll still get pushed out further, was this the - having a bit of kind of lock down the timing of when that shipment is going to go.
Bruce Thames: Yes a lot of that is related just our customers and timing and expectations, so we've at least begun to see - and we know what stage things are in engineering. We've begun to see a shift, we now have a lot of information that we were waiting on, so that designs are progressing and accelerating, we're now beginning to get customers to - beginning to push us for delivery. So we are seeing an acceleration in kind of the need from customers related to a number of those projects, not necessarily - that's not a broader statement about the market, but more about the specific projects in backlog.
Charley Brady: Okay, thanks. And then Jay, what tax rate expectation for the year? Are we still like 25, 27?
Jay Peterson: Yes, I think it will be a little bit lower than that, Charles. In the 20, let's say 24 to 25 range.
Charley Brady: Great. Thanks.
Operator: Your next question comes from the line of Shawn Boyd with Next Mark Capital. Your line is now open.
Shawn Boyd: I just need to go back to gross margin for a second. And I didn't - I might have missed it earlier, but help on sustainability, I got the mixed shift [technical difficulty] I understood it correctly, some good margins on particular Greenfields product as we roll into the December quarter here in the rest of the year, do you think [technical difficulty] level or should we think about backing down.
Jay Peterson: Yes, I think there is two dynamics there. One is that the mix at for maintenance at 72% that is pretty much unprecedented. And we don't believe that is sustainable. In terms of gross margin, we still do see pricing pressures, we do see a slight increase in the backlog gross margin, but the margins this last quarter were robust but above historical ranges for Greenfield and we believe margins will be exposed down for the balance of the year.
Shawn Boyd: Okay, so Greenfield in particular you would expect to come back to where we've over the past few quarters?
Jay Peterson: Yes.
Shawn Boyd: Okay and then on the expense reductions, you've announced before today and then the additional $1.9 million, you gave some additional colors to how much of that within the fiscal year, but if I can come at it kind of a different way and as you say, and really I'm going to parse it between cost of goods sold and OpEx and I'm looking at company that's got about $22 million in quarterly OpEx. Once we're fully implemented, which I guess this happened pretty early in the quarter. Should be Q3 or excuse me, should be September quarter and certainly December. Is that 22.3 more like 21.5, what's your - how much to delta on your operating expenses?
Jay Peterson: The OpEx piece will be $1.5 million over the next approximately nine quarters, so about $500,000.
Bruce Thames: Nine months.
Jay Peterson: Nine months. I'm sorry. Are approximately $500,000 per quarter.
Shawn Boyd: Got it. Okay, that's it from me. Thank you.
Operator: And I'm showing no further questions at this time. So with that, I'd like to turn the call back over to President and CEO, Bruce Thames for closing remarks.
Bruce Thames: Thank you all for joining on the call today. We do appreciate your interest and investments in Thermon and thank you have a good day.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude the program and you may all disconnect. Everyone have a wonderful day.